Operator: Ladies and gentlemen, thank you for standing by. Welcome to the 3M Fourth Quarter Earnings Conference Call. During the presentation, all participants will be in a listen-only mode. Afterwards, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded, Tuesday, January 28, 2020. I would now like to turn the call over to Bruce Jermeland, Vice President of Investor Relations at 3M.
Bruce Jermeland: Thank you, and good morning, everyone. Welcome to our fourth quarter 2019 business review and 2020 outlook. With me today are Mike Roman, 3M's Chief Executive Officer; and Nick Gangestad, our Chief Financial Officer. Mike and Nick will make some formal comments, and then we'll take your questions. Please note that today's earnings release and slide presentation accompanying this call are posted on our Investor Relations website at 3m.com under the heading Quarterly Earnings. Please turn to Slide 2. Before we begin, let me remind you of the dates for our 2020 quarterly earnings conference calls, which will be held on April 28, July 28 and October 27. Also note, we are planning to host an Investor Meeting in 2020. We will update you once we have finalized the date for the meeting. Please take a moment to read the forward-looking statement on Slide 3. During today's conference call, we will make certain predictive statements that reflect our current views about 3M's future performance and financial results. These statements are based on certain assumptions and expectations of future events that are subject to risks and uncertainties. Item 1A of our most recent Form 10-K lists some of the most important risk factors that could cause actual results to differ from our predictions. Finally, please note that throughout today's presentation, we will be making references to certain non-GAAP financial measures. Reconciliations of the non-GAAP measures can be found in the appendix of today's presentation and press release. Please turn to Slide 4, and I'll hand it off to Mike. Mike?
Mike Roman: Thank you, Bruce. Good morning, everyone, and thank you for joining us. Our team executed well in the fourth quarter and delivered results that were in line with our expectations. Although we continue to face growth challenges in certain end markets, our focus on productivity and cost management helped generate solid underlying margins and robust cash flow with a conversion rate of 186%. We also continue to build, invest, and transform for the long-term success of 3M. Earlier today, we issued a press release on the next big phase of our transformation journey, a new global operating model and streamlined organizational structure, which I will discuss in more detail. Today, I will also provide an update on our ongoing commitment to sustainability and environmental stewardship, including PFAS. Later in the call, I will come back to discuss our full year performance, including record cash flow and good progress on our strategic priorities along with our outlook for 2020 where we expect to return to growth. Please turn to Slide 5, where I will begin with a summary of our fourth quarter results. Organic growth company-wide in the fourth quarter was minus 2.6%, in line with our guidance. We continue to face softness in certain end markets, namely China, automotive, and electronics, which impacted overall growth. We delivered adjusted earnings of $1.95 per share, which includes a $0.20 Q4 restructuring charge that I will discuss shortly. Excluding that charge, we delivered EPS of $2.15 at the high end of our guidance. Finally, we generated underlying margins of 20.7%, which includes a 140 basis point impact from the Acelity acquisition, while reducing inventory levels by $115 million. Overall, I'm pleased with our team's execution and our ongoing progress in driving operational improvements. Please turn to Slide 6. I have talked to you often about the strength and vitality of the 3M value model. We have deep competitive advantages, unique technology platforms, advanced manufacturing, leading brands, and global capabilities, all of which make 3M greater than the sum of our parts. At the same time, we constantly evolve and build on our foundation, which we are doing through our four strategic priorities, including transformation. Over the last several years, we have been on a journey to transform how we serve our customers, how we work, and how we compete. The deployment of our ERP system has enabled new standardized business processes, new service models, and new digitalization capabilities across 3M. In EMEA and Canada, where we are furthest along in our transformation, we are seeing enhanced customer service, improved margins, better use of data analytics, and lower inventories. We are starting to see the same improvements in service, analytics, and inventories in the U.S. as well, which gives us continued confidence in our transformation journey. Importantly, our progress has enabled us to realign the company and further leverage our transformation capabilities. As you know, in April of last year, we moved from five to four business groups to better align around our customers and our four go-to-market models. This was the first step in our realignment. Since then, we have been working on reorganizing the entire company around our new business groups to take full advantage of our new capabilities. On January 1, we implemented a new streamlined global operating model designed to improve growth and operational efficiency. In the new model, our business groups now have full responsibility for all facets of strategy, portfolio and resource prioritization across our entire global operations. Under the prior model, area and country teams had responsibility for setting priorities in their respective regions, part of a distinct international organization. Now all of our international people report directly into the business groups and functions that they are part of, and there is no longer a separate international team. This new model has clear benefits to both 3M and our customers. First, it will drive more accountability to our business groups to strengthen performance and serve both global and local customers. Second, it will enable stronger customer insights in order to drive more powerful innovation. Third, it will empower our people with more freedom to make decisions and increase speed and service to our customers. Fourth, it will make us more efficient and help us continue to drive margin expansion by reducing layers, streamlining structure, and simplifying reporting lines. Finally, it will allow us to leverage similarities across markets, while maintaining the robust local capabilities and expertise that help differentiate 3M. 3M has both experience and success operating in a global model such as this. For several years, our electronics and auto OEM businesses have operated in a global model, and we've seen stronger customer alignment along with better service, innovation, and efficiency. In addition to our new model, we also made changes in 2019 to the way we support our business groups. To optimize the customer experience in each of our go-to-market models, we consolidated manufacturing, supply chain, and customer operations into a seamless end-to-end enterprise operations organization. This team plays a critical role in tailoring service and expertise to the needs of our customers and has been a key driver in enabling us to reduce inventory levels. We also brought together key capabilities around the world as part of a new global corporate affairs organization in order to advance our brand and reputation and build on our history as one of the best places to work around the world. As a result of these actions, today we are announcing a restructuring charge as we move quickly to our new alignment. The restructuring includes streamlining our organization by reducing approximately 1,500 positions spanning all business groups, functions, and geographies. On a pretax basis, we took a restructuring charge of $134 million in Q4, and we expect annual pretax savings of $110 million to $120 million, with $40 million to $50 million in 2020. In our new structure, we will also report geographic results under three areas beginning in Q1 2020: the Americas; Europe, Middle East, Africa; and Asia Pacific, with the same level of detail and transparency as we always have. Ultimately, as I've communicated to all 3M’ers, this is a defining moment for our enterprise. We are modernizing how we run our business and building an organization for the future, and I'm more confident than ever in our journey to transform into a more agile, more efficient, and more competitive enterprise.  Please turn to Slide 7. Being a leader in sustainability and environmental stewardship is core to 3M and is a value that matters deeply to our employees, our stakeholders and to me personally. We started our groundbreaking Pollution Prevention Pays program more than 40 years ago, and we have continued to step up our leadership to address climate and environmental challenges. Last year, we moved our St. Paul headquarters to 100% renewable electricity while committing to move our entire global operations to renewable energy by 2050. 3M also produces a broad range of solutions that help our customers reduce their greenhouse gas emissions from our smog-reducing roofing granules to our films that make homes, electronics and automobiles more energy-efficient. From a governance perspective, we are also strengthening oversight of strategies related to sustainability, R&D and commercialization. In November, our Board established a Science, Technology and Sustainability Committee to ensure we are building on our strong innovation capabilities while advancing our already high standards for product and environmental stewardship. This commitment to sustainability includes stewardship of water, one of our most precious resources. As part of our responsibility, we are proactively managing PFAS, guided by the principles of sound science, corporate responsibility and transparency. We are committed to being part of the solution to ensure communities have confidence in their water. This includes addressing contamination at sites where we produced or disposed of PFAS. In addition, we will work with our customers and our other stakeholders in connection with other sites where PFAS concerns exist. Our efforts under these commitments led to a litigation-related pretax charge of $214 million in the fourth quarter, split roughly equally between the following two items: First, we updated our assessment of environmental matters and litigation related to our manufacture and disposal of PFAS, which included expanding our evaluation to other 3M sites that may have used certain PFAS material. Second, we updated our assessment of customer-related litigation based on ongoing settlement discussions. At the same time, we continue to work with the EPA and other authorities to ensure we are fulfilling our ongoing commitment to environmental stewardship. As previously disclosed, in 2019, 3M discovered and voluntarily informed the EPA and appropriate state authorities that discharges from our Decatur, Alabama facility may not have complied with permit requirements. We immediately idled the relevant processes and took steps to address these issues. In connection with our Decatur disclosures, 3M received a grand jury subpoena from the U.S. Attorney's Office for the Northern District of Alabama in late December 2019, and we are cooperating with this inquiry. In addition, in Q4 of 2019, as part of our compliance assessment of similar sites, we identified and also disclosed to the EPA and appropriate state authorities similar discharge issues at our Cordova, Illinois facility. We continue to support the EPA and the Alabama and Illinois state environmental authorities to help resolve these matters. We have a strong cross-functional team in place that is actively managing our environmental stewardship and PFAS. And moving forward, we will continue to update you as developments unfold. If you haven't already, I encourage you to visit our PFAS stewardship website, which can be found on our Investor Relations site under the heading About 3M. That wraps up my opening remarks. I will come back to discuss our full year performance along with our 2020 guidance after Nick takes you through the details of the quarter. Nick?
Nick Gangestad: Thank you, Mike, and good morning, everyone. I'll start on Slide 8 with a recap of our fourth quarter sales performance. Fourth quarter organic sales declined 2.6%. Volumes were down 340 basis points, while selling prices were up 80 basis points. The net impact of acquisitions and divestitures increased sales by 5.1 percentage points, while foreign currency translation was a 40 basis point headwind to sales. All-in fourth quarter sales in U.S. dollars grew 2.1% versus last year. Looking at growth geographically. U.S. organic growth declined 3%, primarily due to declines in the Transportation and Electronics and Safety and Industrial businesses. Asia-Pacific declined 3% in Q4 with Japan down 7%, primarily due to a decline in our Electronics business. Organic growth was up 1% in China. This result is primarily due to last year's easier comparison. EMEA declined 3% while Latin America, Canada was flat. Please turn to Slide 9 for the fourth quarter P&L highlights. Company-wide fourth quarter sales were $8.1 billion with adjusted operating income of $1.5 billion. Adjusted operating margins were 19%, which included a negative 170 basis point impact from restructuring. Considering this impact fourth quarter operating margins were right in line with our expectations. On the right hand side of this slide, you see the components of our margin performance in the fourth quarter. Lower organic volumes and our continued efforts to reduce inventories to improve cash flow were both headwinds to margins year-over-year. Partially offsetting these headwinds were benefits from our Q2 restructuring actions. In total, these factors resulted in 110 basis point reduction to margins versus last year's fourth quarter. Acquisitions and divestitures combined reduced margins by 140 basis points mainly related to our acquisition of Acelity. Higher selling prices along with slightly lower raw material costs contributed 70 basis points to fourth quarter margins. And finally, foreign currency net of hedging impacts increased margins by 10 basis points. Let's now turn to Slide 10 for a closer look at earnings per share. Fourth quarter adjusted earnings were $1.95 per share and as Mike noted included a $0.20 impact from our Q4 restructuring, which was not factored into our prior guidance. Accounting for this item, earnings were $2.15 per share, right in line with the high end of our guidance range. Looking at the components of our year-on-year earnings performance. The net impact of organic growth, inventory reductions and other items I covered on the prior slide reduced fourth quarter per share earnings by $0.13. Acquisitions and divestitures combined, reduced fourth quarter earnings by $0.11 per share versus last year, primarily due to Acelity. Please note that this result includes the impacts of both financing and tax costs. While early, Acelity is off to a good start as our team delivered results better than expected. Turning to tax rate. Our fourth quarter adjusted tax rate was 20.3% versus 20.5% last year. As noted with acquisitions, M&A and restructuring categories in this table include their own year-on-year tax impacts with the remaining impact of $0.05 reflected in this line. And finally, average diluted shares outstanding declined 1.7% versus Q4 last year, adding $0.03 to per share earnings. Please turn to Slide 11 for a look at our cash flow performance. As Mike noted, we delivered another quarter of robust free cash flow with fourth quarter free cash flow of $1.8 billion. For the full year, free cash flow increased 10% to $5.4 billion as our teams delivered strong working capital management throughout 2019. Fourth quarter conversion was 186%, which included a 27 percentage point benefit from the significant litigation-related charges. Fourth quarter capital expenditures were $538 million, with the full year totaling $1.7 billion. Also during the fourth quarter, we returned $1 billion to shareholders via dividends and gross share repurchases. And for the full year, we returned $4.7 billion. Please turn to Slide 12, where I will summarize the business group performance for Q4. I will start with our Safety and Industrial business, which declined 2.8% organically in the quarter. Our Personal Safety and Industrial Minerals businesses delivered mid single-digit organic growth in the quarter, while the balance of the portfolio declined. Looking geographically, organic growth increased in Latin America, Canada while Asia-Pacific, the U.S. and EMEA each declined. Safety and Industrial's fourth quarter operating margins were 20.9%. Overall, margins continued to be solid when considering negative organic growth, inventory reductions and restructuring impacts. Moving to Transportation and Electronics. As expected, fourth quarter sales were down 5.9% organically compared to last year, impacted by end market softness worldwide. Our electronics-related businesses showed sequential improvement, despite year-over-year being down mid-single digits organically as demand remained soft in consumer electronics and factory automation end markets. Our automotive OEM business was down 5%, a bit better than fourth quarter global car and light truck builds, which were down 6%. Transportation and Electronics fourth quarter operating margins were 20.8%. Similar to Safety and Industrial, margins were impacted by lower sales, inventory reductions and restructuring. Turning to our Health Care business. Organic growth was flat year-over-year against last year's strong comparison. Growth was led by mid single-digit increases in health information systems and food safety. Medical Solutions, our largest business was up slightly, while oral care declined low single-digits in the quarter. Looking geographically, growth was led by Latin America, Canada and EMEA, while the U.S. declined. Health Care fourth quarter operating margins were 21.3%, impacted by nearly 8 percentage points from the combination of the M*Modal and Acelity acquisitions along with restructuring. Taking these factors into account, margins were up 100 basis points year-over-year. Lastly, fourth quarter organic growth for our Consumer business was flat. Sales were led by mid-single-digit growth in home improvement and low single-digit growth in home care, while stationery and office and consumer declined. Looking at Consumer geographically, Latin America/Canada grew mid-single digits. The U.S. was up nearly 1%, while EMEA and Asia Pacific declined. Consumer's operating margins were a strong 23.4%, up 3 percentage point year-over-year, driven by portfolio and footprint actions we have been executing in this business. That wraps up our review of fourth quarter results. Please turn to Slide 13, and I'll hand it back over to Mike. Mike?
Mike Roman: Thank you, Nick. As I look at 2019, I'm encouraged how our team responded to the challenges we faced in our end markets: stepping up our execution, improving operations and driving strong cash flow as we move through the year. We finalized the restructuring we announced in April, effectively managed costs and reduced inventory levels by $370 million. With respect to the full year numbers, organic growth company-wide was minus 1.5%. We posted adjusted earnings of $9.10 per share, which included a $0.21 benefit from the divestiture of our gas and flame detection business. We increased cash flow by 10% year-over-year to $5.4 billion, an all-time high for our enterprise, while delivering a strong conversion rate of 118%. Additionally, we posted a good return on invested capital of 18%, including the impact of acquisitions. In 2019, we also returned $4.7 billion to our shareholders through dividends and share repurchases. And last year marked our 61st consecutive year of dividend increases. Please turn to Slide 14. Beyond financial results, I view 2019 as a fundamentally significant year for 3M as we implemented major change to position us well for the future. Earlier, I talked about how we are accelerating the pace of our transformation, and we also made significant progress on our other three priorities for long-term growth and value creation. I'll make a few comments on each, starting with portfolio. The ongoing review and reshaping of our portfolio is critical to maximizing value across our company. Since 2012, we have moved from 40 businesses to 23, while completing more than 10 divestitures and 14 acquisitions. In 2019, we continued portfolio, with particular progress in strengthening our Health Care business. We acquired Acelity, which accelerates 3M as a leader in advanced wound care, along with MModal's technology business, an ideal fit within our health information systems business. The integration of Acelity is going well, and the business is off to a good start. And M*Modal is outperforming our expectations for both growth and income. We also announced that we will divest our drug delivery business, which will enable us to focus more resources on our core Health Care portfolio. Beyond our efforts in Health Care, last year, we sold our gas and flame detection business. And earlier this month, we finalized the sale of our ballistic-protection business. Managing our portfolio is an ongoing process, and we'll continue to act on opportunities to maximize value across 3M. Our next priority is innovation, which is the heart of our enterprise. It differentiates 3M in the marketplace and supports organic growth and our long track record of delivering premium margins and return on invested capital. In 2019, we invested $3.6 billion in the combination of R&D and CapEx. These investments enable us to invent unique products and solutions and then deliver them efficiently to our customers through our disruptive manufacturing process technologies. That it is more than the breadth of our technology that sets us apart. It's also our ability to share, combine and apply our technologies across 3M businesses. Our adhesives, for example, are in cars and airplanes, electronics and medical tapes and in the products you're most familiar with, such as Command strips and Post-it notes. And as the needs of our customers evolve, we constantly develop new capabilities and applications to stay at the forefront of innovation. Last year, we expanded our periodic table to 51 technology platforms as we further refined our expertise in areas like meta-materials, computer vision and advanced robotics. We also continue to see strong returns from investments in our priority growth platforms, which serve emerging and fast-growing markets. For the full year, these platforms grew 10% as we create differentiated solutions for customers around health care, transportation, safety and infrastructure. For example, automotive electrification grew 9% as we continue to drive good penetration, with particular strength in automotive displays and lightweighting solutions. Going forward, we will continue to use 3M innovation to solve tough problems for our customers, improve people's lives and help create a more sustainable world. Turning now to people and culture, which is foundational to each of our other priorities. In 2019, we took significant action to develop our people and invigorate our culture, and the transformation initiatives I discussed earlier are at the center of our efforts. Our transformation journey is as much a cultural change as it is a technology change. We are simplifying workflows, equipping our people with new systems and tools and empowering them with more autonomy to make faster decisions. Given the level of transformation within 3M, a key focus of our development is managing change, and I am pleased how our team is stepping up to embrace these changes. At the same time, we are deepening our commitment to 3M's core values, including diversity and inclusion, 60% of our top 100 leaders are diverse, one-third of our corporate officers and Board members are women, and we are doing more to integrate inclusion into our daily life. Of course, underpinning everything we do is our code of conduct. And last year, 3M again was named one of the world's most ethical companies. Overall, I'm pleased with the progress we made against each of our strategic priorities in 2019, and I am confident in how we are positioned heading into 2020. Please turn to Slide 15. As a result of our work, we are well positioned to return to growth in 2020. Our plan reflects our improved performance and expectation for low but positive global macroeconomic growth. We anticipate organic growth of flat to 2%, along with earnings of $9.30 to $9.75 per share. We expect another year of robust cash flow conversion rate of 95% to 105%. Finally, we anticipate a strong return on invested capital of 18% to 21%. In the appendix of our slide presentation, you will find additional details on our guidance, including a breakdown of our expectations for organic growth by business group and area. Before turning to Q&A, I have one additional announcement. Our Executive Vice President of International, Julie Bushman, has informed us of her intent to retire in April. Throughout her 36 years at 3M, Julie has been an exceptional leader and has created tremendous value for our company and our shareholders. Julie's leadership has been invaluable throughout her time leading our international team, including her role and working closely with me to lead the transformation announcements we discussed today. I thank Julie for her many years of service and many contributions. That concludes our prepared remarks, and we will now take your questions.
Operator: [Operator Instructions] Our first question comes from the line of Scott Davis with Melius Research. Please proceed with your questions.
Scott Davis: Hey good morning guys.
Mike Roman: Good morning, Scott.
Scott Davis: As far as the – I mean, there's some noise out there with this virus in China and stuff, and you sell a fair amount of products into – that benefit, but at the same time, there's some offsets and slower growth in China overall. But when you think about, Mike, the cadence of returning growth in 2020, is there a sense of when? Is it 1Q as you start to get into some easier comps or is it more towards the back end of the year?
Mike Roman: So Scott, I would start with the model for returning growth in 2020 is based on that broader macro, that outlook for the broader macro. It also is looking at some of those key markets that we talked about that were challenges for us in 2019. China, for example, one of the challenges in 2019. We see that in our model for 2020 returning to low-to-mid single-digit growth for the total year. In both cases, I would say, we see growth strengthening as we move through the year. So Q1, positive growth for the overall enterprise in the middle range – middle of the overall guidance of the range, maybe a little slightly lower end of the guidance of the range. And China, in particular, before we got to the last couple of weeks with the coronavirus really becoming the focus, we were looking at a sluggish start to China in first quarter really based on automotive, and the build rate's expected to be down mid-single digits and maybe even high-single digits. And so it's – that was kind of our pacing. Now coronavirus, it's kind of changing things as we go and we're seeing what you're seeing. We're seeing increased demand for our respiratory protection products, and we're ramping up our production worldwide, in China, around the world to meet that demand. At the same time, we're seeing what everybody else is seeing, that there's – the businesses are shutting down, extending their shutdown beyond Lunar New Year. So, we're really watching day to day what that's going to mean for our outlook for China, but I'll give you kind of the frame we had and then how we're kind of looking at it as we see the updates day by day.
Scott Davis: Okay. That's helpful, Mike. And just as a quick follow-up. Will Acelity be accretive to your growth rate in 2020? Will that be above your guidance range in your view?
Nick Gangestad: So Scott, this is Nick. We – Acelity is, of course, incorporated in the guidance that we're giving there. Throughout the year, most of its growth will be coming through what we report for acquisitions versus organic growth, but when we compare it to the underlying growth that was a revenue that was there before we acquired it, we see its growth as accretive to the overall 3M growth rate that we're projecting.
Scott Davis: Okay, super helpful. Thanks, good luck guys.
Mike Roman: Thanks, Scott.
Operator: Our next question comes from the line of Nigel Coe with Wolfe Research. Please proceed with your questions.
Nigel Coe: Thanks, good morning.
Nick Gangestad: Good morning, Nigel.
Nigel Coe: Hey, so just wanted to touch on the additional PFAS charge here. I mean I think I understand the Alabama and Illinois plant issues, but what's the trigger for the customer litigation charge? I mean, obviously, there has to be a trigger to get you to recognize that charge. Maybe just touch on – there's obviously a speculation about EPA regulation. Where do you stand on that issue?
Mike Roman: Yes. So maybe I'll take the charge first, Nigel. So, we played out in the prepared remarks that there are two aspects to the charge. One is our ongoing commitment to resolve the issues where we manufacture and dispose the PFAS. The other part of the charge is related to really ongoing negotiations with customers. As part of our commitment is to do our part to help customers address the PFAS issues they face, and we've got our negotiations and mediation as far enough along that we can identify what's probable and estimable around a group of customers. It's multiple customers. It does account for the Wolverine cases that we've been – we've talked about in the past, but it's multiple customers, and really the next step of what we can understand is probable and estimable. So then in working with – one of the commitments we did make in last fall is to work in support of the EPA as we move forward with their regulatory plan around PFAS. They've got a – they've laid out a plan to move forward. We are working to support that with our investment in research and understanding – helping the understanding of PFAS, providing our data and really doing things like helping to provide a clearinghouse for all of the information and data around PFAS. And so, we continue to be working in support of the EPA in our work on our resolving, our manufacturing disposal sites, and then also on moving the regulatory standards forward.
Nigel Coe: Thank you. A quick follow-on on the 2020 guidance. On the cash flow, the $5.3 billion to $6 billion of free cash, are you simply assuming delevering of the balance sheet in the bridge?
Nick Gangestad: Yes. Nigel, we’re not – as we ended 2019, we had debt-to-EBITDA ratio of roughly – just a little over 2.5 times. We see that coming down probably about 50 basis points to be two or just slightly over two times debt to EBITDA, so that's part of our overall capital structure planning in 2020.
Nigel Coe: Okay. Thanks, Nick. Thanks, Mike.
Operator: Our next question comes from the line of Joe Ritchie with Goldman Sachs. Please proceed with your question.
Joe Ritchie: Thanks, good morning everyone.
Mike Roman: Good morning, Joe. 
Joe Ritchie: Hey, Mike, can you expand a little bit on the commentary on this, the new restructuring initiatives that you have in place and how that differs from business transformation, fully recognizing that it sounds like you're streamlining the organization as well? But any additional color you can provide there would be helpful. (Auidt End)
Mike Roman: Yes. And Joe, what I laid out is really the next phase of our transformation journey, and it's taking advantage of everything that we've done, deploying the ERP, the ecosystem around it, the service models that we put in place, the capabilities, the technical capabilities to really manage our business, digitize a lot of what we do to manage our operations and our business processes. And so it became clear that we could take full advantage of that with how we operate our businesses globally. And last spring, we announced moving from five to four businesses. At the time, it was – it looked like a realignment of the company, but where does it go? And this is really the next part of the story. We aligned around our customers and our go-to-market models. And with the launch in the new year of the new model, we are going to operate globally around those go-to-market models. And that includes how we operate our businesses everywhere around the world. It includes taking advantage of the capabilities we put in place with business transformation, and then It also includes this really consolidation of our manufacturing, supply chain and customer operations end-to-end to really optimize for those go-to-market models. So it's a significant change in really how we align the customers, how we bring our innovation to market, how we streamline and simplify 3M around the world. It is taking advantage of business transformation, but it's really transformation, but it's really multiplying that impact as we move ahead.
Joe Ritchie: Okay, thank you. And then maybe just my follow-on, focused on the Transportation and Electronics segment. Clearly, that's a segment that has – had a tough 2019, and I think that there's some optimism in 2020 that we'll potentially start to see a rebound, particularly in the electronics side of things. And so if we were to start to see better growth, what kind of operating leverage would you guys expect to see out of that business? And in your commentary, Mike, earlier around positive organic growth in the first quarter, is this a segment that is also going to be positive in Q1?
Nick Gangestad: Yes. Joe, let me take that one. First of all from – to the second part of your question, Transportation and Electronics, for the year we've guided that negative 2% to positive 2% organic growth. Our view right now, as we see all four quarters in that range. Right now, and just to go a little off track, the Safety and Industrial business is the only one that we see a potential that that one would be below its range in the first quarter and then in the next three quarters within the range that we've guided. As far as leverage that we expect in Transportation and Electronics, this is one of the businesses where as we see us returning to growth in that, that this would be accretive and would be adding to our leverage that we see that. A specific percentage, we typically don't put out, but it would be beneficial and we'd see the margins, the accretive margins there very similar to what we see for the total company, that as we rebuild the revenue there that we would be seeing that maybe an extra 10% going to increasing the margin as that – as the revenue improves there.
Joe Ritchie: Okay. Thank you both.
Operator: Thank you. Our next question comes from the line of Andrew Obin with Bank of America. Please proceed with your question.
David Ridley-Lane: Good morning. This is David Ridley-Lane on for Andrew.
Mike Roman: Good morning, David.
David Ridley-Lane: Good morning. Can you provide details on how your core gross margin will trend in 2020 given the unusual inventory related effect in 2019?
Nick Gangestad: Yes. The gross margins and our overall margins, but a part of – a big part of it will be our – through our gross margin improvement. We see overall operating margins improving 50 basis points to 100 basis points in 2020. And in the first quarter, we expect them to be roughly flat prior to the impact of Acelity. Acelity, we again – we – because that was not part of our base in the first quarter, we expect that will be a negative impact to our total company margins of about 100 basis points in the first quarter, and will impact Health Care's margins by 400 basis points to 500 basis points in the first quarter. But the underlying margins in first quarter, excluding that we see roughly flat and then some expansion, because our primary inventory reductions that we were executing were occurring in the second, third and fourth quarter. And as we move into that that range then we – that's when we expect to be seen margin expansion, particularly gross margin expansion in 2020.
David Ridley-Lane: Got it. And for the follow-up, what are the sort of tailwinds do you see within Health Care? And do you see potential upside to the 2% to 4% organic guidance for the full year as you get to the second half of the year? Thank you.
Mike Roman: Yes. If you look at 2020 David, Health Care is going to be a leader for growth for us and that is really on some of the strengths that we saw coming out of 2019. We see continued strength in health information systems and with the M*Modal addition being part of that in our food-safety business. Our medical solutions business, we see that benefiting from the strong market – outlook for market growth in Health Care. And so we see, and I would say, continued strength in developing markets helping to lead that growth forward. So it's some of the areas that we saw strengths in 2019 and then some of the things that we've been able to build upon with our acquisitions and leverage even stronger positions against a good macroeconomic outlook.
David Ridley-Lane: Thank you very much.
Operator: Thank you. Our next question comes from the line of John Inch with Gordon Haskett. Please proceed with your question.
John Inch: Thank you. Good morning, everyone.
Nick Gangestad: Hey, John.
Mike Roman: Good morning John.
John Inch: Good morning guys. Nick, can we start on the EPS road map, Slide 27? So you've dialed in minus $0.25 for 2019 headwinds. I think it's interesting. It's not a range. It's an exact precise number. What exactly is in that? For example, like our compensation headwinds, so having to pay people more money, is that in there? And anything you could say on that? Was there flex around it? What is going on there?
Nick Gangestad: Yes, John, there's two precise things in there, which is why it's not a range. About one-third of that is from gains we took in 2019 on disposal of certain properties, certain assets we had, that I talked about during our third quarter earnings call. The other two-thirds of that, John, is coming from variable compensation. With our results that were delivering – delivered in 2019, our variable comp is below our planned variable comp level. And we've built our plan for 2020 that we would be returning to planned variable comp. And that's why we're calling that out as a 2019 headwind.
John Inch: And can I ask you, Nick why is that fixed? For instance, let's just say the economy got better as 2020 progressed and you did much better than your zero to 2% core growth. Does that variable number also not dial up? Or is it kind of a fixed bonus? Like, why wouldn't the $0.25 possibly dial a little bit higher as a drag?
Nick Gangestad: Yes. So in 2020, if we start to see our compensation being different than that, then our normal practice would be that becomes part of productivity. So if we are paying more than our planned variable comp that would become a headwind to our productivity that we're projecting in 2020.
John Inch: Got it. And then just as a follow-up, Nick, can you remind us what's going on – or Mike. What's going on in Europe? I had in my notes – I thought that you were sort of on deck to maybe downsize your European footprint, I think pro forma, like about a third of production facilities, with a lot of this happening in the back half of 2019. Where do we stand on that? And I noticed that, for instance, Europe, on the core sequentially got worse. Was that actually – was that self-inflicted because of this associated internal disruption or actions? Or is there something else? Just is it just macro in Europe? Just where do we stand in Europe overall and the runway even to your 20% plus margins that you talked about at the last Analyst Meeting, Nick?
Nick Gangestad: Yes. John thanks for asking that question. And there are several moving parts in there. First, let me talk to the margin, and then I'll talk to the growth. 2019 was a very good year of progress for us with our operating income margins again expanding in Europe to approximately 19%, very much along the trajectory that we were projecting that we would be on to be moving this to a 20% operating income margin by 2020. As part of that, we've been taking a number of action over the last few years. Some of them had been footprint actions, and we are starting to see some of that benefit manifest in our 2019 results going forward into 2020. Also, there's been some portfolio adjustments, where there are certain product lines where we've been going through and prioritizing and deciding either to exit or to de-prioritize and de-resource. And as we look at our organic growth in 2019 as well as, in particular, you're asking about fourth quarter of 2019, that's been impacted, impacted by 50 basis points to 100 basis points of organic growth by some of our – what we have planned and done from a portfolio standpoint as part of our move to shift our portfolio in Europe. Much of the rest has been macro of what we're seeing. Plus, a little bit right now what we're seeing in the fourth quarter is a comparison that we're going against fourth quarter last year in Europe. This was very much in the range we're expecting. But macro, we're continuing to see auto builds down in Europe, and that does impact our overall EMEA results.
John Inch: But EMEA is up. Do you think it hits your 20% target in 2020 or maybe even a little bit better?
Nick Gangestad: Yes. We see ourselves very much in-line to be hitting that. Could be a little ahead, but I wouldn't get too far ahead on that. We see ourselves right in line to be hitting that.
John Inch: Got it. Thanks very much.
Operator: Thank you. Our next question comes from the line of Deane Dray with RBC Capital Markets. Please proceed with your question.
Deane Dray: Thank you. Good morning everyone.
Nick Gangestad: Hi, Deane.
Deane Dray: Hey, Mike, I was hoping to circle back on the restructuring announcement today, and I wanted to put it in context with what we're seeing across the multi-industry sector, where a number of companies are pursuing simplification via larger spinouts, bigger, bolder moves versus kind of what I would characterize, 3M has been more surgical. Have you looked – as a result, you look more like an outlier in terms of your simplification approach. Is it – what's your response there? Is it really company-specific? Are there opportunities to do something bigger? Is that – might be another next phase? But if you could give us some color there, that would be helpful.
Mike Roman: Yes, Deane. We – what I framed it up is this is part of our transformation journey. And if you look back, even back to the Investor Day in November of 2018, we laid out a plan for margin improvement over the coming years, and a big part of that was from transformation. So there was a plan by us to really keep moving forward in this. This announcement today is the next phase of that plan to move forward with an alignment around those four go-to-market models, our customers, better leverage all the business transformation investments we put in place. And we are optimizing as we go. We're building on the capabilities we've put in place. You saw that in 2019 start to come through our EMEA and Canada results in terms of margins and service and inventory management improving there. We – it was part of getting on top of inventory in North America, too, as we deployed the new capabilities. And so I wouldn't call it a – I wouldn't think of it as a one-step in the middle of this. It's part of our transformation journey. And so we'll continue to optimize off of this. This is – enables – the charge that we took in Q4 enables us to move quickly to the alignment, get the full benefit of it as we go forward. It's really, we think, going to be an important part of what positions us to deliver growth and better efficiency as we go through 2020 and beyond.
Deane Dray: That’s helpful. And then just staying on the restructuring, the payback for 2019, did – that's $40 million to $50 million in savings. Just based upon the size of the restructuring that seems a slower payback, does that have more to do with the timing of how you'll do these reductions?
Nick Gangestad: Yes, Deane, that really is a function of this. As we move to streamline the – our operations there, not all of it is happening right away. There's parts of it that phase in over the course of the year, and that's why it's only having a $40 million to $50 million impact. Some of it, a minority position, part of that will come in the first half of the year. The vast majority of that $40 million to $50 million comes in the second half of the year.
Deane Dray: Got it. Thanks helpful. Thank you.
Operator: Thank you. Our next question comes from the line of John Walsh with Credit Suisse. Please proceed.
John Walsh: Yes, good morning.
Mike Roman: Hey John.
Nick Gangestad: Hey John.
John Walsh: Wanted to talk about the price performance in the quarter and specific to the U.S., but happy if you want to broaden it out. As we think about that 1.7% price increase, that's a higher number than we've seen here in the past. Is that priced because of innovation and sustainable? Or did you hold price, and that was kind of impacting why the volume was down in the U.S.?
Nick Gangestad: John, the price growth – first of all, let me expand it to the full year for U.S. price growth. With that 1.7%, that brings our full year price growth to 80 basis points. John, I think that's the more helpful number for you to look at and focus on. Often in a quarter-to-quarter basis, there's going to be what is it comparing to in the quarter in the prior year. So I won't overreact to the 1.7%. Our view is the 80 basis points that we did in the U.S. in total 2019, that's indicative of what we're doing. And to the first premise of your question, what we overall see in price growth is a function of the value we are creating. It's the innovation we have in our products and continuing to update the product lines and the products that we offer there. And that is a big driver of that. But I won't focus on the 1.7%. I'd focus more on the full year, the 80 basis points.
John Walsh: Got you. And then maybe coming at the flat to up 2% organic just a different way. If we think about 2019, particularly on the automotive side, you did have some impact from channel inventory destocking. I don't know if it's possible, but have you thought about what the growth rate would look like just with the absence of those headwinds? And how much of that kind of flat to 2% is just a normalization versus the macro getting any better?
Mike Roman: John, the return to growth of zero to 2% that is really reflecting both the macro and then I think a closer look at the markets that we've been challenged within 2019. So electronics, automotive, China. And in 2019, as you noted, there was an impact from channel reactions. As they saw the decline in those markets, they reacted, took out inventory. So part of the year-over-year, in those markets, comparison is going to be a more stable channel. We do see more balanced inventory in those channels. I would say electronics; we're seeing the early signs of maybe some encouraging outlook in areas like semiconductor, fabrication and data centers. In automotive, the outlook for the year is still negative build rates. Slightly negative, I think, is the broader economic view. We're a little more conservative than that in a slower start to the year. But again, I would say our view is – also has that idea of balanced inventory in the face of those outlooks.
John Walsh: Great. Thank you.
Operator: Thank you. Our next question comes from the line of Andrew Kaplowitz with Citi. Please proceed with your question.
Andrew Kaplowitz: Good morning, guys.
Mike Roman: Good morning, Andy.
Nick Gangestad: Hey Andy.
Andrew Kaplowitz: Mike, can we go back to Health Care for a second? I know that you changed the reporting last year and put separation and purification, and that's continuing the growth a little bit. But you, I'm sure, recall that Health Care was supposed to be a 2% to 4% grower in 2019 and reported a little under 2% and the 4% to 6% through 2023. So I know you're saying 2% to 4% for 2020. Has the impact on Health Care just been, I guess, unexpected cyclicality? Or have you sort of reassessed the long-term growth of the business? And is there any sort of thought about accelerating portfolio optimization in that particular business beyond selling drug delivery?
Mike Roman: Well, Andy, I would say, as I highlighted in my speech, we have been focused with our portfolio actions on Health Care. As you mentioned, drug delivery and the plan to divest that, adding Acelity, adding M*Modal into our health information systems. And if you go back to Q4, the growth – organic growth in Q4 was positive across most of the portfolio. It was led by mid-single-digit growth in health information systems and food safety. Medical solutions was up slightly in the quarter. Oral care declined in the low single digits. And so that was maybe the focus of the softer growth in Q4. We did see strong growth geographically in areas like China and other parts of the world. So that's kind of what we carry into 2020. And we see medical solutions improving. The market outlook there is strong, and our position is strong. We see health information, food safety continuing. We see separation and purification getting a little better. And so we – all of that together positions us in a stronger growth for the outlook for the total year.
Andrew Kaplowitz: Mike, that's helpful. And then, Nick, just looking at the walk for 2020 again. Do you still see the potential for additional property sales? So there may be an element of conservatism in that item. And then you talked about a pretty wide range for this year in terms of productivity impacts from zero to $0.25. It seems that's like a little higher than usual. Is productivity more dependent on what organic growth is this year and that's why it's a little hard to pin down in 2020?
Nick Gangestad: Andy, I just want to make sure you asked, where the potential for other property sales and if that's what you said, no, we're not anticipating anything of any material magnitude on gains or losses from property sales in 2020. In terms of the range that we have for productivity between zero and 25% – $0.25, that's might be a little wider than normal. And I think it does reflect as we're coming off a year where our margins were declining as we were having noticeable drops in inventory as well as we're going through the transformation and the restructuring charges we've called out and isolated the restructuring charges, but that's also a driver of our productivity and we're isolating that, and just the interplay of that adds a little more complexity for that. And we see the zero to $0.25 is like our best estimate right now. And of course we're going to be striving to be on the higher end of that, but it's where we are building our plans right now.
Andrew Kaplowitz: Thanks for that Nick.
Operator: Our next question comes from the line of Josh Pokrzywinski with Morgan Stanley. Please proceed with your question.
Josh Pokrzywinski: Hi. Good morning guys.
Mike Roman: Good morning Josh.
Nick Gangestad: Good morning Josh.
Josh Pokrzywinski: Just a follow-up on Andy's question a little bit on productivity, maybe slightly a different way. I guess Nick, how does zero end up in the range? You mentioned kind of the under-absorption and destocking issues, which I think caught you by surprise in the first quarter of last year, in particular on the volume drop. What would be the driver of the lower end of that range? Is it – if demand is better and like you said the incentive comp is a hit to productivity? Just trying to understand what the downside could be or what even drive the pressures to that?
Nick Gangestad: Josh a couple of things. First of all, as would typically be the expectation if our growth is on the lower end of our range, I think that puts a little pressure to us on the lower end of the productivity range that we've laid out here, and included in that productivity range there's positive things that we're doing such as where we're seeing where the utilization of our factories in comparison to 2019. But it's also – we're also facing into as we do every year wage inflation so offsetting wage inflation is part of that. We also have other things that are impacted in there. For example, what we've called out under other and other pension expense that hits the non-offline is being flat year-on-year. Included in our productivity there is a between $0.06 and $0.07 headwind for increased pension expenses, that's part of that productivity number. So there is a negative headwind – there is headwinds we're facing and there as we face a zero to 25%.
Josh Pokrzywinski: Got it. That's helpful. And then just on the demand outlook. I think clearly there is an expectation maybe a few months ago that we were on this kind of linear recovery and maybe a mid-year bigger inflection in demand across the industrial universe. It seems like January has been a little slower for everyone. If you guys had a snap the line today versus some of the potential may be green shoots you could have been seeing 30 days or 60 days ago, as anything seen pushed out or off track or is this just kind of a timing issue and we shouldn't read anything into January?
Mike Roman: Josh, I think you laid it out. The way we looked at that low growth macroeconomic especially in industrial, industrial production index kind of view of that it was getting better as we went through the year. That's the way we built our outlook for the year, our plan. I would say the biggest change since that has been what's going on in China. And it's – that will be the – have the biggest impact on how the first quarter plays out and then how we move further into the year. So I think that's the most important thing to be watching out.
Josh Pokrzywinski: Got it. Appreciate the color. Thanks guys.
Operator: Thank you. Our last question comes from the line of Julian Mitchell with Barclays. Please proceed with your question.
Julian Mitchell: Hi, good morning. Thanks for squeezing me in.
Nick Gangestad: Hey, Julian.
Julian Mitchell: Hi. Just a quick question following up on inventories. I think Nick or Mike; you'd said that you had a $370 million drawdown in 2019 overall. Maybe just help us understand what the margin impact of that drawdown was for the full year 2019. And also, as you sit here today, do you view your channel inventories that your customers and partners as being fairly normal? Or is there a bit more to go of destock in Q1? And then, switching back to 3M itself on inventory, do you have that old medium-term goal of a $500 million reduction, where do we stand on that?
Nick Gangestad: Julian, several questions all at once. So first of all, on the $370 million of inventory reduction, our estimate that that's negatively impacted our operating margins or our gross margins in 2019 by 50 basis points to 100 basis points. That's true both for the fourth quarter and also true for the full year about 50 basis points to 100 basis points. And we see that flipping to be part – that's part of our guidance of the margin improvement in 2020 is having that headwind behind us. As far as channel inventories, there's always some puts and takes. I'd say we're seeing nothing abnormal right now with channel inventories. We have, of course as we've said throughout the year we've seen some reductions in our inventory – channel held inventories, but right now, I'd characterize it is fairly normal where we stand with inventories. And then we – in 2020 we do anticipate that we will bring down inventories a bit more, nothing on the magnitude of the $370 million that we did in 2019, but we expect we will be – we'll continue our progress of taking down our inventories slightly in 2020. As far as the guidance we had given prior of $500 million. We see the progress that we made in 2019 as most of that reduction getting us back to where we were when we first said that and some of that starting to make progress on that $500 million. We still see opportunities in the coming years for us to operate our supply chain even more efficiently and gather even more of that $500 million inventory reduction through our cash flow in the coming years. We've made some progress in 2019, we'll make more in 2020 and we'll make more in 2021.
Julian Mitchell: That's very helpful. Thank you.
Operator: Thank you. That concludes the question-and-answer portion of our conference call. I will now turn the call back over to Mike Roman for some closing comments.
Mike Roman: To wrap up. In the fourth quarter, we leveraged the strengths of the 3M business model to navigate market conditions while delivering strong cash flow and solid margins. We also continue to make significant progress on our transformation journey with the rollout of our new operating model. We enter 2020 in a strong strategic and financial position poised to return to growth and deliver value for our customers and shareholders. Thank you for joining us.
Operator: Ladies and gentlemen, that does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your line.